Operator: Good morning, and welcome to the AirBoss of America Q4 Results. With us, we have Mr. Gren Schoch, Chief Executive Officer of AirBoss of America; Ms. Lisa Swartzman, President; Mr. Chris Bitsakakis, Chief Operations Officer; and Mr. Daniel Gagnon, Chief Financial Officer. I would now like to turn the meeting over to Mr. Gren Schoch. Please go ahead, sir. Gren Schoch Good morning, everyone, and thank you for joining this conference call. My name is Gren Schoch, and I’m the Chairman and CEO of AirBoss. Here with me are Lisa Swartzman, President; Daniel Gagnon, CFO; Chris Bitsakakis, COO; and Chris Regall, VP Legal and Compliance. We will give a summary of results, and then the conference lines will be opened up for questions. Before we begin, I’d like to remind you that today’s remarks, including management’s outlook for the remainder of 2018, anticipated financial and operating results, our plans and objectives and our answers to your questions will contain forward-looking information within the meaning of applicable securities laws. This forward-looking information represents our expectations as of today, and accordingly, are subject to change. Such information is based on current assumptions that may not materialize and are subject to a number of important risks and uncertainties. Actual results may differ materially and listeners are cautioned not to place undue reliance on this forward-looking information. A description of the risks that may affect future results is contained in AirBoss’ annual MD&A, which is available on our corporate website and in our filings with the Canadian Securities Administrators on the SEDAR at www.sedar.com. I will now turn this over to Lisa, for a highlight of the quarterly report.
Lisa Swartzman: Thanks, Gren, and good morning, everybody. I hope everyone can hear. We are actually very pleased with the full-year 2018 performances of Rubber Solutions and the defense business within the Engineered Product segment. However, on a consolidated basis, the challenges experienced by the automotive business more than offset that progress. For the fourth quarter, consolidated EBITDA was $5.7 million versus $6.8 million in Q4 2017 and EPS was $0.06 versus $0.16. On a consolidated basis, EBITDA for the year was $25.7 million, a 7% decrease versus 2017 and EPS was $0.37 versus $0.54. Just as a reminder, the 2017 EPS reflects an approximately $0.95 million one-time tax pickup as a result of the U.S Tax Act. Rubber Solutions had a very strong 2018. EBITDA of $19.7 million was within shouting distance of the record high achieved in 2015. For both the quarter and full-year, volume increased approximately 15% with improvements across the majority of sectors and in particular conveyor belting, mining, tolling, track and off the road. On a full-year basis, these were partially offset by softness in the infrastructure, third-party automotive and chemical sectors. Gross profit dollars for the fourth quarter improved 20% to $6.1 million and EBITDA dollars improved 39% to $5.6 million. For the full-year, gross profit dollars of $22.4 million and EBITDA dollars of $19.7 million were approximately 14% and 18% higher respectively versus 2017. Rubber Solutions has entered 2019 with a strongest volume momentum in history. This demand forms the basis of the recently announced expansion adding a dedicated white and color mixing line and significantly upgrading the R&D and laboratory capabilities in our Kitchener, Ontario facilities -- facility and the addition of a second mixing line in our Scotland Neck, North Carolina facility. The addition in Scotland Neck is both prudent business practice providing redundancy and minimizing customer impact in the event of disruptions on the existing line as well as supporting the growth experience there. While the immediate impact will be a reduction in capacity utilization there, management is confident that the volume gains are sustainable and as new tire facility growth comes online in the area in the coming years, we will be well-positioned to grow our market share. As I mentioned before, the team has done a really good job of building a white and color compound book of business over the past three years. However, our existing equipment is less than ideal for mix optimally. The addition of a dedicated line is expected to materially improve the quality and efficiency on this portfolio. In Engineered Products, net sales in the fourth quarter declined approximately 5% to $40.9 million versus Q4 2017 where a marginal increase in net sales in the automotive business was offset by lower sales in the defense business. For the full-year, net sales increased approximately 4% to $171.3 million versus 2017, driven by an approximately 29% increase in the defense business, offset by a small decline in the automotive business. For the quarter, gross profit and EBITDA declined to $4.2 million and $1.6 million, respectively versus the comparable period in 2017. And for the fiscal, year gross profit declined approximately 9% to $22.6 million and EBITDA to $11.4 million. For the fourth quarter, this was primarily related to the defense business as a result of accelerated filter deliveries in Q4 2017 to accommodate the delayed start and customer requirements of the award, and timing related to the end of a glove award in 2017 and the start of the replacement program this year. For the full-year, improvements in the defense business were more than offset by challenges in the automotive business. We continue to be focused on three primary areas in the automotive business. Mitigating the impact of increased raw material prices, particularly with respect to rubber sealant silicone which accelerated in the second half of 2018 and are further exasperated by the tariff environment. We’ve had some success as a result of conversations initiated with our customers to obtain relief from these negative effects. However, it is an ongoing process. Tight labor market conditions are resulting in production inefficiencies as we're experiencing higher turnover than historically and difficulty replacing and supplementing with the caliber of talent we are seeking. And non-automotive sales. We received our first non-automotive award in the fourth quarter and are in the testing phase of the second product. While this won't have a material impact on the top line, it is an encouraging step in a high-priority area of focus for us. I reiterate what I said last quarter. There has and continues to be an enormous amount of work being done by our team. And although 2018 was very challenging, we expect to start seeing improved results from these efforts in the second half of 2019. Net sales in defense for the year were approximately 29% higher than 2017, driven by increases across the majority of the -- our suite of products, but particularly in powered air purifying respirators, filters, masks and shelter systems. We started delivering on the recently announced cold-weather, a.k.a. Bunny Boots and glove awards with the majority of the Low Burden Mask deliveries on the remaining two major awards to begin later this year. We are encouraged that these awards and our sales in general are spending a substantial portion of our product suite. The outlook for the defense business remains strong for the foreseeable future. Although as always, there are some level of uncertainty as to the timing and size of orders under existing contract and new tenders. We're fortunate to have dedicated and experienced teams in all of our businesses, who are committed to executing on the growth path we’ve set. We're not satisfied with these results, but we are moving in the right direction and are confident that our ongoing efforts to expand and diversify our product lines, customer base and target market segment is positioning us to take advantage of growth opportunities and adapt well to any further market volatility. I will turn it back to Gren now.
Gren Schoch: Thank you, Lisa. So just to summarize, we are very happy with what is going on in our Rubber Solutions and defense business. The -- we are very unhappy with what’s going on in flexible. Chris Bitsakakis, who has joined us in November of 2017 --sorry, 2018.
Lisa Swartzman: '17.
Gren Schoch: Sorry, '17. Last year was his full-year with -- first full-year with us. And his first focus last year was on setting the stage for growth in our Rubber Solutions business. I think it's pretty obvious that he has done a good job at that. With the addition of the new color mixing line which should be on within the next month. It's a whole new line of business for us and we are optimistic that will generate good growth. We are doubling the size of Scotland Neck and by June we will have state of the art center of excellence for new product development in Kitchener. And when I asked him to address the elephant in the room, which is the Flexible situation, Flexible will be his main focus this year and I will just going to let him tell you what is wrong there and how we plan to fix it.
Chris Bitsakakis: Thank you, Gren. I appreciate the opportunity to give a little bit more color on what’s happening at Flexible. We did have an excellent year at both Rubber Solutions and at defense as well. Unfortunately the deterioration of Flexible took away some of that momentum on a consolidated basis. And Lisa did a good job explaining the key areas. But I think it's worthwhile to go into a little bit more color on exactly what we plan to do there. If you look at Flexible in last year, in particular, in 2018, there was three I would say areas of concern that we need to get very aggressive to drive improvements in. The first one was the material side, the input costs. We saw an unprecedented spike in steel cost last year, both from a tariff standpoint and from a regular steel price commodity standpoint. What happened was when the tariffs were announced from the Trump administration, there was quite a run to bring steel from overseas into local markets, which then created a pretty significant supply demand crunch, which we saw our steel price increase approximately 20%. And just to give a little bit of color, steel is the single biggest commodity that we are affected by Flexible. So we also saw increases in silicone and rubber, but they were significantly smaller compared to be the steel costs. So I will talk a little bit about the steel cost in a couple of minutes. The second area that we're driving improvements in is the top line. Even though it was a fairly marginal reduction in sales, we are looking at needing to continue to increase our sales year-over-year because through customer givebacks and other situations like that if you're not aggressively growing the top line, it's very difficult to see improvements in the bottom line. So that’s the second area. And the third area was labor inefficiencies and utilization. So between material input costs, sales declines, and labor inefficiencies, those are the three areas that we’re going to be focusing on in 2018. In terms of material cost, I mentioned what was the driving force already behind the significant spike in steel costs. What we've done in the meantime is we immediately started negotiating with our customers for relief on those steel cost. We also applied for waivers with the U.S government to exempt us from those tariffs. Unfortunately the waiver system that was set up in the United States got backlogged very quickly. Only 2% of the waivers are being granted, and it's approximately at this point looking like a 2-year waiting period before we even get a hearing on it. So really that's not -- although we are in the queue, it's not really a great option for us. So we immediately started negotiating with each and every one of our customers on steel price commodity increase relief. We have been successful with one of our customers, very key customer in getting some relief from that. We were successful with another customer to get put on a steel price index, so they were protected from future fluctuations in this commodity. And then the remaining of the customer -- and there's two more customers that should be completed by March 16. The remainder of the customers are continuing to negotiate with us, and of course as you can imagine its uncomfortable situation for them and not that easy for them to just apply increases based on this. But we are not slowing down, we are continuing to relent with them to make sure that we get what we expect from these negotiations. The good news is in this scenario that the 20% approximate spike that we saw in steel prices last year, we're now looking into Q2, and looking at steel prices that we are going to be getting in Q2 and about half of that increase is coming down. It appears that with the delay in the second round of tariffs for the additional 90 day delay from March to June has created a little bit more optimism with an agreement with China. And so we are also seeing the steel mills in the U.S improve their efficiencies. And although they’re operating on brand-new capacity, they're bringing on older capacity, they're improving the efficiencies on the existing capacity and we are seeing a drop in steel pricing that will take about half of this problem away coming Q2, and we’re hoping that we see that continue on. And between that steel drop and our negotiating with the customers, we should be able to see quite a relief from what we saw in steel pricing last year. We are in addition to that, driving very hard improvements in our silicone and rubber. Because even though they were smaller in comparison to the steel issue, we are very -- we are in a very good position because of our compound development team in Kitchener being able to work with the team at Flexible to find ways to reduce the cost of our formulations. And we are -- we've put a task force together to look at every single formulation to try and drive out any unnecessary cost without affecting quality or performance. These are all ongoing. Those are probably a little bit longer, may be in the six-month range because any changes that we make to our formulations need to be validated our customers and between that testing sometimes that that takes a few months to do that. So we're driving costs both on the relief side from our customers and also on the product development side to make sure that we reduce our material cost. The second area I talked about was the sales decline. And even though it was a marginal sales decline, it's a sales decline in the last and if you’re not growing, it's very difficult to continue to find efficiencies that slow down to the bottom line. The sales decline that we saw last year, we have been awarded new automotive programs for the out years. And unfortunately as most of you know in the automotive industry it's not a quick cycle. You’re awarded a program several years in advance and we are seeing success in being awarded good new programs both for replacement and incremental work in the out years. In the short-term or mid-term, however, we put a very, very strong focus on non-automotive sales for a couple of reasons. One, because it's a quicker cycle. We can get product development to sales dollars much quicker than we can on the automotive side. Its higher-margin, although the volumes are probably a little bit lower and it also diversifies us from being simply an automotive company. And so I’m very pleased to let everyone know that we were just awarded our first major non-automotive award in the industrial segment, and we are in design stages right now and we should see towards the latter half of this year a launch in that area. There's additional synergy there because that particular industrial product also requires quite a bit of rubber that we also produce in our Kitchener plant and AirBoss Rubber Solutions. We're also in a later testing on a military application inside a Flexible that’s a rubber to metal bonded product that is in testing right now that we believe at least in the laboratory test, it significantly outperforms with those in the market and its now on testing at the military establishments that we are working with. And although the testing is in its early phases, so far the results look quite encouraging. So as we look at driving the long-term growth for our regular automotive cycle, we are now focusing on short and mid-term growth on the non-auto side. And we’ve -- we are building a team inside Flexible f between sales and engineering and dedicating people for that that are simply going to be focused on both product development and sales on non-automotive contracts were we’re going to be targeting construction, industrial, military and other applications of products that fit quite well within our capabilities at Flexible. For example, every tractor and every skid steer uses a motor mount, but we don't. we have the technology to make these products, but we don't supply any of these industries. So by -- we've just hired a very experienced engineer that's experienced on the construction and industrial side of motor mount as an example, and we’ve hired a dedicated sales person and we’ve supplemented some more sales and engineering help around them to create this team. So I’m very confident that going forward we are going to see some significant improvement in diversifying our business and bringing in sales online a little bit quicker and at a healthier margins that what we’re seeing on the automotive side. The third area that we are targeting is labor inefficiencies. Now this is probably the one area in Flexible that has improved quite dramatically in 2018. If we look at the labor efficiency charts that we track every single day in our facility, we've seen a significant improvement in labor efficiency throughout the year in great part, thanks to the AirBoss operating system and the team that we have at Flexible that is focused on the day-to-day operations getting these improvements in place. We are -- in addition to taking that momentum from the labor efficiency improvements on the direct labor side, we also made the decision to consolidate our three factories in Detroit into two factories. We have the floor space and the capability to take our two factories and get the same amount of sales out of there as we do in -- currently in the three factories. That will represent a fairly significant reduction in fixed cost for us towards the latter half of this year. We are going to be able to consolidate some indirect labor overhead that is required when you have an additional facility, and in addition be able to towards the end of the year be alleviated of any extra rent or utility cost or anything else related to it. So along with improving our sales and dropping our fixed costs, we should be able to search improve our overall margin there. In addition to the labor efficiency side, we’ve designed a new robotic work cell for molding technology similar to what we are doing there. We -- this is really cutting edge and we are working with a specialized company that has done this before and we're seeing excellent results on at least on paper for now and we plan to install our first robotic work cell by the end of this year, and see if that is one of the areas that we can improve throughput efficiency and minimize the impact of labor. These are the things that are going on in Flexible. There's many more things than that. A significant number of projects to improve that we are going to focus on this year, but I wanted to give you little bit of color on those three categories being the material input cost drive to drop that down, improving our top line through short, medium and long-term efforts and a continual drop to our -- or increased our labor efficiency that we've already seen some significant improvements already in Flexible. Those are the three areas that we’re focusing on. It's a very strong plan and we have a very strong team at Flexible. We’ve supplemented that team. We've brought people in that are very experienced and they’re doing an excellent job putting this together. None of us are happy with the progress that we’ve seen so far, but we're very optimistic that with this drive going forward, we are going to see significant improvements in Flexible as we get later on throughout this year.
Gren Schoch: Thanks, Chris. Just a couple of other things to add, about future growth. We’ve -- we are aggressively working on new higher-margin products in all of our businesses. The -- in the Rubber Solutions business, we’ve introduced new compounds, which significantly outperform the competition in the off road tire market. Flexible, we’ve developed our first significant new higher-margin, more complex product for the automotive industry. It's now at the prototype stage. It works and we’re aggressively going to be marketing that. We are optimistic that we will get continued new defense business hopefully in the next quarter -- but certainly by the end of June. And on top of that, we're continuing to be active in the non organic or inorganic growth areas, so we’re looking at numerous other acquisition opportunities. So with that, I would like to turn it back to the operator and take any questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Nav Malik with Industrial Alliance Securities. Please go ahead.
Nav Malik: Yes, thanks. Good morning. I just wanted to first ask on the automotive side. Just want to get a sense of maybe you can give me a sense of why it takes so long in terms of getting price increases push through? Like just maybe give me a sense of the competitive environment, like are you worried about competition or losing business or just seems like it's obvious thing on your part in the sense of rising raw material costs and you think the customers will recognize that and it would be an easier process to push through some price increasing -- price increases. So maybe you could just give me elaborate on why the process takes longer?
Chris Bitsakakis: Well, I think you can appreciate that for the big automotive customers, it's a very small group of customers, Ford, GM, Chrysler, Honda, so you can count them on one hand. And when all the supply base is coming to them for price increases, they are competing with each other and are not that interested in applying price increases down -- further down the chain. So over the years, they’ve become very sophisticated through a series of delay tactics, a series of threats with -- withholding new business awards in order to convince and make suppliers capitulate and absorb the raw material increases themselves. I can assure you that we are fighting hard on that. We are working through all the delay tactics. We are working through those threats of being put on new business hold and we’re balancing as best we can with getting the short-term relief without affecting our long-term relationship with our key customers. And so that takes some diplomacy and sometime. And in the end of it, we will see some success and where we can't get price relief, we will try and negotiate other things, like new business awards or other things that can help us in the future. So they are very sophisticated at making this extremely painful, but we are committed to making sure that that we're treated fairly in the process.
Nav Malik: Okay. Is there any business right now that you would say is running at loss, like would you be -- would you walk away from some business if you don't get the price increases or the margins that you want?
Chris Bitsakakis: Actually I’m glad you brought that up, Nav. One of the things that we've been looking at improving the top line, within the automotive industry when a product goes other regular production and goes into service, you're still required to build that product for X number of years, as cars get -- require replacement parts. For the first three years after a part goes from full production into service, you are obligated to keep that pricing intact that you had on that last sort of day that it was in production. However, they allow you after three years to reprice your service parts and that's something that in the past at Flexible we have not had a very consistent process to do. So we're going through right now any of the products that are in service and we are looking at repricing them and you’re also -- you also have the capability of putting up setup charges and other things like that and these are real costs. It's not just an opportunity to raise price for no reason. When something is out of production, you have to take tools out of storage, build a short run, and you can imagine the cost accelerate, but you’re rerunning them the first three years at the -- that the production price when you’re running every single day and you have those labor and material efficiencies. So we are also going through a process right now looking at all our parts that don't make money, all our parts that are in service and have not had a price adjustment or setup charge attached and we are rolling all those out as we speak as well.
Nav Malik: Okay, great. And then kind of on the -- in terms of new -- potential new wins, new program wins, I know you did provide some color there, but -- so in terms of having an impact, while I guess is there -- I mean, it sounded to me that the impact from any new programs would be towards the latter part of this year and into 2020. Is that kind of what you’re thinking or is there anything more near-term in that or is that what your timing would be?
Gren Schoch: Well, in the non-automotive side we think that as we get aggressive towards getting non-automotive business, there's going to be a very short cycle -- a shorter cycle than that. On the auto side, unfortunately we get awarded years in advance and there's a lot of development that has to happen for that particular vehicle. So it's not that that short-term. So in the non-auto side, we’ve some short-term opportunities. On the auto side, it's a little bit little longer term, but we've also gone to each of our customers during these negotiations on pricing and we've asked them are there any quick takeover opportunities there. Quite often suppliers that are finding themselves in financial difficulties, and so we’ve met with each and every one of our customers to see if there are any takeover opportunities with a supplier that’s may be a financial problem or a supply chain issue that we can jump in and quickly develop launch and jump in there. So we have not had one of these hit yet, but we are in conversations with our customers and they’re very aware that in the case of a supplier that is having some trouble we are willing to jump in and make that a quick launch versus a long-term launch. So we're looking at both short, medium and long-term in those rates.
Nav Malik: Okay. Thanks. I just have one more question on the -- just moving to the defense side, so it was down 20% revenue this quarter. I know you mentioned some timing of the contract last year, but I guess have you started to see some impact from some of the new contract wins that you announced late last year? Like have those started to come through or -- yes.
Lisa Swartzman: Yes. As we said, the glove contract we started delivering on last quarter, which was recently announced in October. And then the cold weather bill which we call the Bunny Boot, the Vapor Barrier Boot, which is a material contract for us, up till $50 million over the next couple of years. We are in full throttle production on that as well.
Nav Malik: Okay. So you should start to see some growth again, I mean, so that in the quarter the 20% decline really was a function of the -- the difficult comp period in 2017 or was there -- is there anything else you want to elaborate on there or …?
Lisa Swartzman: No, I don’t think there's anything -- I really do think it was just the timing issue of when contracts are coming off and when they’re coming back on. Certain of our products within the suite there, that are much more subject to environment and things like that, particularly with the shelters. But in general, we are, right now we are performing on a number of contracts, more contracts than we’ve had in the history of that business. And so I don't see any slowdown in the growth projection there.
Nav Malik: Okay. Okay, great. Thanks.
Operator: Our next question is from Scott Fromson with CIBC. Please go ahead.
Scott Fromson: Hi. Good morning, folks. Just wondering if you have a sense of the potential dollar impact if tariffs are relieved?
Chris Bitsakakis: Well, if you break down the steel pricing from last year, it's about approximately a 20% increase. 10% of that was tariffs and 10% was supply demand economics. The supply demand economics that 10% we are seeing now starting to drop come Q2. The tariffs represent about a 10% hit for anything that comes out of China, not our entire supply bases out of China. So we're seeing a fairly material and significant improvement in our bottom line if the tariffs disappear.
Scott Fromson: Okay. Thanks. That’s helpful. And …
Gren Schoch: [Multiple speakers] through. Just -- I think the order of magnitude we bought approximately close to $20 million of steel last year.
Scott Fromson: Okay. That’s helpful. Just turning to the Rubber Solutions, can you give a little bit more color in the rubber and the revenue outlook? Are you seeing any signs of a slowdown in the North American auto sales or is this -- is that part of the strategy to -- is that a big part of the strategy to diversify away from auto related?
Chris Bitsakakis: We are already very well diversified across all segments in Rubber Solutions. So not one single segment really drives to the extent, especially on the automotive side. And so, we aren't concerned, we have not seen a slowdown. If anything we are scrambling to find capacity and ways to improve. We've worked with some key customers on some very interesting efficiency improvements where they’ve gained a little bit on price and we gained quite a bit on efficiency. And it's been a win-win, but at the end of it, it allowed us to open up some capacity for more work. But we have not seen a slowdown in demand as of yet.
Scott Fromson: So just on that issue of capacity, what is the current utilization rate at Rubber Solutions? And I know it's a moving target, but anything on the mix?
Gren Schoch: Scott, that’s a an interesting -- it's a hard question to answer, because …
Scott Fromson: I know.
Gren Schoch: … capacity depends on your product mix. And also it depends on whether you’re operating seven days a week, 24/7 or you’re operating five days a week, etcetera, etcetera. But our capacity utilization is up significantly from last year. It will obviously draw immediately when we put the two new mixers online, but we are optimistic that we will have new business to fill those mixers. Like, for example, the colored mixer when it comes on, we have a lot of customers that are indicating that they want to buy from us. However, they cannot give us an order until we actually have the mixer in place, till we run trials for them, until they’ve -- and it's been tested. So when that comes on, it's going to be relatively empty for the first month or two and then it will quickly start to ramp up. Does that answer your question?
Scott Fromson: Yes, I know it's a tricky question. Just one more on defense, if I could, please. Can you give a better color on the defense margins as you ramp into kind of -- as you transition into sort of run rate production. You see the margins improving?
Lisa Swartzman: Yes. I think that, in general, our -- the defense business has the highest margin of any of our business segment. And so I think on the gloves, those are -- the gloves when we make over boots, those are products that we are typically in production while the time on. So I don’t think you will see a material impact or pickup on the margins there, because I think we are pretty efficient at that. Chris can talk more specifically on the Bunny Boot, but we are already seeing, we’ve made some changes on the Bunny Boot production process as we got this award just given the volume of that. And we're starting to see some good pickup in that and some material improvements in the efficiency and lowering of scrap. And then the Mask is still -- that’s still a new product for us. So we’re not up in full rate production with that. We will start delivering on those two contracts towards the end of the year and I would anticipate -- and again, I don't want to put words in Chris's mouth and -- but there -- it's a new product for us. So as we move into full rate production on that, I think there will be a ramp up to margin improvement.
Chris Bitsakakis: I can add a little bit to that as well and Lisa is right. But we are driving an aggressive continuous improvement plan on every single one of our product lines. And we’ve seen significant improvements in efficiency, in the Bunny Boot line with some changes that we've made. We have seen efficiency improvements in the glove lines. Not so much on the molding side, which is what Lisa was referring to, but on the packaging and finishing side, we've been able to take quite a bit of labor out and drive efficiency improvements on that end. And on the gloves -- on the mask side, by far we’ve seen the greatest amount of efficiency improvements. When we launch this product, it was running very high scrap rates, very low output because it was a new product. As we are getting into ramping up for the Canadian Gas Mask program, our scrap rates are down at the level that we -- probably at this point last year we didn’t expect we could get to. So we are running very, very little scrap, very good output and we have improvements on that mask that we think can continue to improve the efficiency going forward into that launch. So we are not slowing down on driving efficiency improvements in the defense products as well, and then continue to improve that margin.
Scott Fromson: So this is a tough question, but if you have to give kind of an arm wave on how much margin you think you could capture through these efficiencies over time? What -- do you have a sense of what kind of -- what -- how many points it would be?
Chris Bitsakakis: Yes, I think that’s a difficult one, because every product has a different amount of labor content. The ones with the highest labor content, small efficiency improvements make a big difference to the margin. The ones that are mostly material cost, then we have to be looking with our chemist, is there a way to optimize the formula to get more out of there. So I think it would be irresponsible and inaccurate for me to give you a number, but depending on what the CI initiative is, we will definitely see improvement on our margins. It's just what’s the magnitude and what is the -- what is driving the cost of that product in that particular case.
Scott Fromson: Okay. Thanks very much.
Operator: [Operator Instructions] Our next question comes from Shawn Levine with TD Securities. Please go ahead.
Shawn Levine: Hi. Good morning. Thanks for taking my question. Just a quick question here on the non-automotive opportunities. Do you see those kind of mitigating maybe some of the declines in the auto business, or could you actually see those deliver revenue in 2019 such that automotive revenue as a whole would be up year-over-year?
Chris Bitsakakis: I think we'll probably see some revenue towards the end of 2019 coming from the non-automotive. But keep in mind, it's still an early program. It's one product launch, and so really this is -- although we will see revenue start to come up, it won't necessarily drive the overall revenue as much as we would like it to, but we think that in a few years from now we are going to be much better diversified and some of those fluctuations will go away. Having said that, we are also growing the automotive side of our business. It is our key core competency and we are driving that as well. So we don't expect to see declines in our automotive industry -- in our automotive portfolio going forward either. We are driving growth at all of our customers. For example, we have certain products that we make for one customer, but we don't make that exact product in another customer. So we are driving into customers that we are already dealing with and broadening the products that we give to them so that we can grow that as well. In general, our customers are happy with this. We are doing a good job for them. So we have lots of positive encouragement on the automotive side that we will be able to grow our business on that side as well. The non-auto will take a little bit of time to kick in, but we are dedicating time, effort and resources to it in order to diversify and get a quicker turnaround on sales growth.
Shawn Levine: Okay, great. And then on some of those new automotive programs that you said are a little bit longer cycle. Are we looking at 2020, 2021 before those trends to kick in?
Chris Bitsakakis: Yes. It's usually depending on if it's a complete redesign of the vehicle or if it's a refresh. If it's a refresh and there's a change, usually it maybe a 2-year cycle. It it's a complete redesign of vehicle, sometimes that cycle gets closer to three years.
Lisa Swartzman: And Shawn, part of this is what we've been talking about over the last two years, which is we are working on and have a much higher focus now as well on what I call you platform lifecycle management, some of which is in our control and some of which obviously is not. So from our perspective, we are trying to make sure that when we look at the portfolio of platform that we’re on, that we are tracking when they’re going to be up for refresh and when they’re going to be up for -- and when it's complete new builds will be so that we can make sure that we sort of don’t have too much that’s coming off the pipe because as Chris was talking about before, you get customer get back as you start getting towards the end of model cycles, volumes start going down. So we are trying to manage that part as well, but then that’s obviously also impacted pretty -- obviously heavily by the customers that we serve in the types of platform that we are on and how frequently those come up.
Chris Bitsakakis: And I think that’s a good point, Lisa. In that as an example for exactly what Lisa just stated, we targeted aggressively a replacement program for a key program at Flexible that's coming due in a couple of years and we were not only awarded the replacement, but because of our discussions with their engineering team, we were given more parts for the same vehicle. So the replacement business is replacement and then some, about a 20% increase over what the replacement value is. So as we're getting in, even if it's only replacement we are talking to them about bundling other products that aren't necessarily in that particular product line. So we are looking at the refresh, as we are looking at the redesigns, we are getting into engineering early now, talk to them about what we can do for them and we are driving it a lot earlier in the decision-making process, which of course we think long-term that will be a big benefit for us. But like I said earlier, on the short-term side we need to drive either take over business, efficiency improvements or non-auto.
Shawn Levine: Okay. That’s helpful. Sounds promising. Just sticking with automotive here on the expense side, you mentioned closing the third factory in Detroit. Just wondering of any one-time costs and then ongoing kind of cost take outs associated with that?
Chris Bitsakakis: We're looking at the one-time cost right now. There will be some moving cost as we move equipment. The people, they are easy to move over and the lease on that building is up in October. So although there will be some cost associated with it, we don't think they're going to be overly dramatic.
Shawn Levine: Okay. What kind of expense savings should we expect from the closure of that facility kind of going forward after October, let's say?
Chris Bitsakakis: After October we should be at a run rate of about $750,000 a year improvement.
Shawn Levine: Okay, great. Thanks. And then just a quick clarification here. Did the Bunny Boots contract -- were there any deliveries in Q4 or is that in full throttle production in Q1 '19?
Lisa Swartzman: There were deliveries in Q4 as well.
Chris Bitsakakis: There were deliveries in Q4. And it was almost full throttle, but now Q1 its full throttle.
Shawn Levine: Okay, great. Thank you very much.
Operator: Our next question is from Ben Jekic with GMP Securities. Please go ahead.
Ben Jekic: Yes, good morning. Most of the questions have been asked. Just have one for Chris. So on one hand my sense is that you will spend much of the year kind of remaking the automotive side of the business yet there is an addition of capacity in Scotland Neck and Kitchener. There will probably be some kind of early issues until you -- until your ramp up production there. Are you going to be able to make it on all sides or how do you expect to account for that?
Chris Bitsakakis: Thanks, Ben, for the question. I appreciate it. The -- I did spend a lot of time in Rubber Solutions last year and quite a bit in defense also, but also in Flexible. So I was not ignoring any one single segment. However, really my emphasis last year was really driving improvements at Rubber Solutions both on the top line and the efficiency side. However in that process, the thing that was really key to me was to build the team there that we felt really comfortable could move forward. And I have to tell you that the team that we have at Rubber Solutions is very strong, very capable. And the areas of weakness that we've had, we've replaced or strengthened in some other way. They’re under great leadership. They are completely committed to the cause. And I'm not going to be walking away from supporting them in anyway. So I feel comfortable that the team is so strong that it's going to allow me some more flexibility to spend a little bit more time on the auto side. But I don’t see Rubber Solutions going backwards at all. In fact, I think the team that we have there now will continue to drive it forward.
Ben Jekic: That’s great. Thank you. And I do have one more question. I don’t know who will answer, but there was quite a bit of free cash bump in the fourth quarter. And if I’m not mistaken it's coming from an increase in accounts payable. Is there -- can you elaborate on that a little bit or is that -- should we expect kind of a decline in early in 2019 or what’s going on there?
Gren Schoch: Yes, Ben, so there's a couple of things in accounts payable. The timing is always one item that’s comes every year, but one of the aspects of the increase was increased purchasing of raw materials for anticipation of the volume that Q1 was going to bring. So we did go out and buy more of raw materials side -- piece of it. And then the timing -- the rest is all timing of expenses and payments.
Ben Jekic: Right. Okay. Thank you.
Operator: Our next question is from [indiscernible], a Private Investor. Please go ahead.
Unidentified Analyst: Hi. I was just wondering what the opportunity for you guys in regards to electric cars in the automotive segment?
Chris Bitsakakis: So we have been studying this quite a bit and so let me say firstly that we don't expect any serious impact to our business negatively that is as the electrification begins to occur. But what we’re doing now is we’re tearing down electric vehicles and looking for opportunities for molded products that fit into our space. And you know when you look strategically where we’re going, we are currently doing a lot of rubber molding, but there's also a lot of thermoplastic balkanized molding that goes into electrified vehicles, that we are looking at different products so we can develop for the vehicles. A lot of the products that we make shift over nicely to electric vehicles. Some of the products that are in electric vehicles, we don't produce right now. But we are tearing them down and looking at opportunities to provide them and as more of our customers get into electric vehicles then we are in the right position to be able to get more opportunities there and we currently are a supplier to Tesla, and we continue to work with them on other opportunities that we can provide for them.
Unidentified Analyst: Great. Thank you.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Schoch for any closing remarks.
Gren Schoch: Thank you all for attending and I know it was a disappointing year last year, but I’m confident that we’re doing all the right things to provide strong growth in the future. 2019 will be significantly better than last year and with the management teams we have in place, I’m confident that we will see good growth for the foreseeable future. And we will talk to you, I guess, pretty shortly after Q1 comes out. Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.